Operator: Greetings, and welcome to OppFi Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jason Rosenthal, Vice President of Finance. Thank you. You may begin. 
Jason Rosenthal: Thank you, operator. On today's call are Jared Kaplan, OppFi’s Chief Executive Officer; and Shiven Shah, Chief Financial Officer. The company's third quarter 2021 earnings press release and supplemental presentation can be found at investors.oppfi.com. During the call, the company will be discussing certain forward-looking information. These forward-looking statements are based on assumptions and assessments made by OppFi’s management in light of their experience and assessment of historical trends, current conditions, expected future developments, and other factors they believed to be appropriate. Any forward-looking statements made during this call are made as of today and OppFi undertakes no duty to update or revise any such statements, whether as a result of new information, future events or otherwise. Important factors that could cause actual results, development and business decisions could differ materially from forward-looking statements are described in the company's filings with the SEC, including the sections entitled Risk Factors. In today's remarks by management, the company will be discussing non-GAAP financial metrics. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in this afternoon's earnings press release. This call is being webcast live and will be available for replay for one-month on our website. I would now like to turn the call over to Jared.
Jared Kaplan: Thank you and good afternoon everyone. While Shiven will discuss our financial results in more detail, I wanted to start by hitting a few key highlights for what was a strong third quarter. Originations totaled a record $165 million, up 25% compared to the prior year quarter, and up 14% on a sequential quarter basis as demand for short-term credit continued to rebound. As a result, receivables ended the quarter at $293 million, up 22% year-over-year and 13% compared to the end of the second quarter boding well for ongoing revenue growth. In fact, we have now served over 700,000 unique customers to date and expect to facilitate our 2 million at loan this month reinforcing the strength and durability of our platform and robustness of our dataset. Turning to the income statement, adjusted revenue for the quarter of $92 million grew 25% compared to the third quarter of 2020, and 17% on a sequential basis. Profitability remains strong for the third quarter with $32 million of adjusted EBITDA, representing a 35% margin and $17 million of adjusted net income. Through the first three quarters of 2021, we have generated adjusted EBITDA of $96 million and adjusted net income of $54 million. Adjusted diluted earnings per share was $0.21 for the third quarter of 2021 and $0.64 for the first nine months of 2021. We continue to invest heavily in our platform, particularly in talent, product and technology, including our artificial intelligence and machine learning tools. Automation creates less friction for our customers. In this quarter, we continue to make strides in automating the credit approval process on behalf of our bank partners. The percentage of applications automatically approved increased from just about 50% for June to almost 60% for September, 80% of credit decisions whether approvals or denials are now automated. Speaking of investment, we continue to develop our recently launched new products SalaryTap and OppFi credit card and we secured significant capital under our credit facilities to fund future growth of these products. Starting with SalaryTap, our recently introduced sub 36% APR payroll deductible installment loan product. We believe we have built the foundation for SalaryTap to grow into an innovative and market leading product. We are seeing very high customer net promoter scores as well as strong customer metrics. This gives us confidence in our ability to scale the product over time having identified a strong product market fit. We are currently mostly focused on our direct-to-consumer offering which has become quite viable considering advances in payroll verification technology without having to directly link through employers. That being said, we still anticipate partnering with additional companies to offer SalaryTap to their employees down the road. And from a funding perspective, we've recently expanded our existing bank credit facility by $20 million in favorable terms to support the growth and expansion of its SalaryTap. Similar to SalaryTap, we are still in the early stages of OppFi Card and are testing a wide range of product designs, price points and underwriting criteria to develop innovative card products. We have built a strong team and recently amended $75 million credit line to fund card receivables growth. It appears most customers prefer the OppFi credit card as a credit line for everyday purchases whereas our installment loan products provide financing for more emergent needs. We believe that our SalaryTap and OppFi Card products together with further scaling and innovating our OppLoans businesses are the beginning of a strong product suite that will take market share away from legacy players, allowing us to increase our active users in customer lifetime value while reducing our customer acquisition costs. Finally, we have recently published the inaugural Social Impact Report as part of our company's ongoing efforts to measure the financial impact of products and services on the OppFi platform. Highlights from the report include an OppFi reported over 400,000 consumers' payment histories to all three major credit bureaus. According to an internal study, OppFi found that consumers who paid off their loans with OppFi experienced a 32 point average Vantage Score increase. Through the OppFi TurnUp program, if the consumer qualifies for a sub 36% APR product, OppFi's platform will help ensure they have access to that product. However, our data indicates that less than 2% of consumers who opt into the OppFi TurnUp program receive a loan with one of these lenders. OppU OppFi's online financial education hub and blog had more than 1 million user visits in 2020. Furthermore, through our mission aligned relationships, OppFi provided consumers with more than 100,000 referrals to free financial health resources in 2020. OppFi's success has reflected in the effectiveness of our social impact initiatives and measurable outcomes for consumers. We plan to continue to measure how our business model enables us to facilitate financial inclusion to the millions of everyday consumers, who need access to credit. Now I'd like to talk a bit more about the overall demand environment and how it compares to pre-pandemic times. While originations accelerated to record levels in the third quarter, the demand rebound was less steep than we had anticipated. We believe there are several factors still holding back borrowing. Our targeted consumers still has higher than usual cash on hand. These savings are likely the combination of pandemic influence production and spending, increased income from wage inflation and the impact of various government stimulus programs some of which are still ongoing. Of those consumers that have returned to the credit market, we are seeing a higher percentage from our proprietary credit score centers. This phenomenon typically occurs after tax season where less creditworthy borrowers come back to the market first. We now expect a more gradual to return to normalize demand as consumers work through their savings collect. As we look to the future, we are ramping investment in our AI credit models, talent and brand, while working with our bank partners to refine product designs to better align with needs of today's consumer. We believe a more personalized pricing approach may better position us for accelerating growth going forward, particularly as borrowing behaviors and trends, normalize. Looking ahead, we believe Q4 revenue will be supported by our ongoing growth in originations and the higher level of receivables entering the quarter while earnings will be impacted by credit normalization, the scaling up of our marketing and branding efforts, and investment in our future growth.  We are very early in involving our platform to be the premier digital financial services destination for the everyday consumer. We plan to achieve this by all offering our customers a comprehensive product suite to serve their financial needs while lowering their overall financial service costs and providing exceptional customer experience. What's becoming clear is that even though a hundred percent of our customers are employed, they remain income constrained and asset-light. We believe due to the high friction costs among many different types of products used the smooth cash flow. Our current products are starting to address this pain and we believe there is a substantial opportunity to further expand our product suite moving forward, so we can quantify or reduce these frictional costs, which should help smooth cash flow and enable savings for customers. We began a thoughtful shift to optimize for active customer growth and average revenue per customer growth at attractive unit economics going forward. As a private company, we optimize for net income, including our own balance sheet financing to differentiate us from other FinTech platforms who are largely relying on large outside equity funding to grow. We see great opportunities to rapidly grow our customer base with thoughtful investment to support an array of products attractive markets. And we have started to explore more off-balance sheet funding opportunities to optimize financial flexibility and accelerate growth. This is all part of our goal to create a platform and a brand as the premier financial destination for the everyday consumer. We look forward to revealing more about our evolving long-term strategy in the near future. With that, I would now like to turn the call over to Shiven to review our financials.
Shiven Shah: Thanks, Jared. And good afternoon, everyone. Now turning to our third quarter 2021 financial results, I would like to note that all comparisons to 2020 from an income statement perspective are based on a pro form fair value adjusted view for 2020 to be able to present a like-for-like comparison. You'll recall that on January 1, 2021, the company transitioned to the fair value accounting methods for its core installment receivables from the incurred credit loss application method. We had solid financial results in the third quarter, highlighted by strong profitability, robust originations and receivable growth and a healthy balance sheet. Third quarter adjusted revenue was $92 million, an increase of 25% versus adjusted revenue for the third quarter a year ago and up 17% sequentially. Ending receivables balance on an amortized cost basis was $293 million at the end of the third quarter up 13% sequentially and 22% compared to the third quarter a year ago. Originations continue to rebound during the quarter as customer demand returns. Total originations were a record $165 million, up 14% sequentially, 25% from the third quarter a year ago, and 14% from the third quarter of 2019. 51% of originations were from new customers, which was up approximately 40% last quarter and the year ago. Originations from new customers grew 57% year-over-year and 41% sequentially. Our annualized net charge off ratio as a percentage of average receivables was 36% for the third quarter. As expected, we saw charge offs begin returning to pre-COVID levels, increasing 750 basis points from the 28% net charge off ratio for the second quarter and up 1,150 basis points from the net charge off ratio for the third quarter of 2020. Looking ahead, we expect the net charge offer ratio to approach historical levels in the mid to high 30% range annually. Change in fair value premium was in line with the previous quarter, as growth in ending receivables of $33 million was offset by a lower increase in the fair value premium, which increased 90 basis points versus 110 basis points increase in the previous quarter. The increase in fair value premium was driven by origination growth leading to a longer remaining light of the portfolio, as well as an increase in portfolio yield due to a shift to more bank partner originations and fewer customers enrolled in hardship programs. Turning now to expenses. Total operating expenses for the third quarter, excluding interest expense, as well as ad backs and one-time items were $44 million or 48% of revenue compared to $37 million or 48% of revenue for last quarter and from $32 million or 43% of revenue for the third quarter of 2020. This increase versus last year was primarily driven by an acceleration of originations in the 2021 third quarter and the corresponding impact on direct marketing and acquisition expense. Sales and marketing expenses increased to $16 million or 17% of total revenues for the third quarter, from $12 million or 15% of total revenue last quarter, and from $10 million or 13% of revenue for the third quarter of 2020 as demand accelerated, coupled with a higher percentage of originations coming from new customers. As demand returns, we expect a balanced mix between new and returning customers as we saw this quarter and marketing cost as a percentage of revenue to remain near third quarter levels for the remainder of the year. Customer operations expenses for the third quarter, totaled $11 million or 11% of total revenue compared to $10 million or 13% of total revenue last quarter and $9 million or 12% of total revenue for the third quarter of 2020. We continue to drive operating efficiency in our customer center with an automatic approval rate up to 58% versus 51% last quarter and 21% a year ago. This has led our customer center headcount to be down since the beginning of the year. Looking ahead, we expect customer operation expense percentage growth to be less than half of origination percentage growth sequentially. As we saw this quarter with origination growth of over 14% and customer operations expense growth of less than 7%. Technology product and analytics expenses for the third quarter totaled $7 million or 8%, which was the same as last quarter and $5 million or 7% of revenue for the third quarter of 2020. We continued to invest in technology resources to support enhancements of our AI powered underwriting engine, as well as support the scaling of new products, and as a result, we expect technology expenses as a percentage of revenues to remain in the high-single digits. G&A expenses, excluding one-time and buy backs, for the third quarter total $11 million or 12% of total revenue compared to $10 million or 12% of total revenue last quarter and $8 million or 10% of total revenue for the third quarter of 2020. The increase in G&A expenses was driven by investments in personnel and infrastructure to support the company’s augmentation of internal controls, operational risk, and compliance functions as, in addition to higher insurance expenses, as the company transitioned to becoming a public entity. We expect G&A expenses as a percentage of revenues to remain consistent with the third quarter of 2021 for the remainder of the year. Adjusted EBITDA was approximately flat sequentially and year-over-year at $32 million as higher net revenues were offset by increased expenses, primarily related to sales and marketing to drive origination growth. For the nine months ending September 30, 2021 adjusted EBITDA was $96 million, a 46% versus the nine months ending September 30, 2020, driven by receivables of growth in a lower net charge-off ratio. Our adjusted EBITDA margin for the third quarter was 35% compared to 44% last year, and 41% for the second quarter of 2021. As we expected adjusted EBITDA margin began normalizing in the third quarter as net charge-off ratios began returning to pre-COVID levels coupled with increased marketing spend driven by origination growth. Interest expenses, excluding debt amortization for the third quarter, totaled $6 million or 6% of total revenue compared to $4 million or 6% of total revenue last year, and $6 million or 7% of total revenue for the third quarter of 2021. Interest expense was flat versus the previous quarter as we self-funded all of our receivables growth from our cash flow from operations, and did not draw additional net senior debt. We recognized adjusted net income of $17 million for the third quarter compared to $18 million the previous quarter and $19 million the third quarter of 2020. Adjusted net income for the first nine months of the year was $54 million up $20 million or 60% from the first nine months of 2020. As of September 30, 2021, OppFi had $84.5 million total shares outstanding excluding $25.5 million earn out shares. Adjusted earnings for share for the third quarter was $0.21 and $0.64 for the first nine months of the year. Turning now to the balance sheet. Our balance sheet continues to remain healthy, driven by strong free cash flow with Q3 2021 cash balances ending at $57 million in a net debt to equity ratio of less than two times. As I mentioned, we did not draw additional net senior debt in the third quarter, and self-funded receivables growth, transaction expenses, and tax distributions. Equity grew $39 million, which includes $69 million of one-time fair value adoption impact and net income of $73 million partially offset by tax distributions and tax transaction related adjustments to equity. From a funding capacity standpoint, we have a diversified capital structure with nearly $500 million of funding capacity to support our future growth plans, including to securing financing recently to fund our salary cap and credit card businesses. I now want to turn to our 2021 guidance on our financials. The company is reiterating its full year 2021 financial outlook with revenues between $350 million and $360 million. Adjusted EBITDA between $120 million and $125 million, and adjusted net income between $62 million and $66 million. OppFi’s expectations for its full year 2021 revenue, adjusted EBITDA and adjusted net income were based on various material assumptions, including the following. Ending receivables of approximately $315 million to $325 million, which would represent approximately 15% to 20% year-over-year growth, reduced in previous expectations due to slower than an expected demand recovery. Net charge-offs, a percentage of average receivables of approximately 35% to 40% due to lower growth and receivables. And yields consistent with historical levels for the fourth quarter of 2021. As Jared highlighted earlier, we are focusing on capturing more market share through product innovation and design. You’re confident that our growth trajectory next year will show year-over-year growth in a more normalized demand environment coupled with our product extensions. Having said that, we remain focused on positioning the platform to capitalize on accelerating volumes over time. More specifically in tandem with our bank partners, we recently introduced a more personalized approach to pricing. As we roll out more competitive rates for stronger credit customers, we believe the shift will drive higher volumes and lower net charge-off partially offset by slightly lower gross revenue yield. To conclude, we remain confident in the law long-term prospects of being able to execute our mission, to serve the millions of U.S. consumers who are unable to access credit from traditional sources. We are committed to investing in our platform to drive future growth and increase market share. We are currently working through 2020 key assumptions and investment scenarios that will be finalized based on consumer demand at year end, as well as on our Q4 traction on new products and personalized price testing. And as such we plan to provide 2022 guidance on the next earning call. With that, we would now like to turn the call over to the operator for the Q&A session of our call. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of David Sharp with JMP Securities. Please proceed with your question.
David Sharp: Hi, good afternoon. Thanks. Thanks for taking my questions guys. Maybe I guess just one and then a follow-up. Jared kind of reflecting on the demand environment right now. Obviously is a kind of pretty steep decline in the outlook for year end balances and in kind of in contrast to what a lot of kind of other lenders have been sort of noting as maybe some kind of macro tailwinds, in fact as Delta recedes and employment improves. I'm wondering, as you reflect on kind of the lessening near-term demand relative to kind of your expectations a few months ago, is there any particular channel where conversion rates – either conversion rates or inflow of applications may have fallen off more than others or is it pretty broad based kind of across all your marketing channels?
Jared Kaplan: Yes, I think it's broad based. But it's more about I think that the difficulty in forecasting demand in an exogenous environment. I mean, if you look at the growth versus 2019, it's quite healthy. And unlike a lot of others, we never really pulled back in facilitating originations for the bank partners through the pandemic period. So we absolutely thought that we would see the continued acceleration, which we did, but it was less so just because I think it's really, really challenging in this environment to figure out exactly when people are coming back to the market and that's driven by the factors that we outlined in the script, I think on people having more cash in some of the government stimulus pieces and just overall less spending, it's not a channel driven phenomenon. So just overall less than we had expected, but at the same time healthy and certainly healthy when you compare us versus 2019, the less pre-pandemic period.
David Sharp: Got it. Got it. And maybe related question may or may not be, you tell me. I'm wondering the comments about sort of the personalized pricing approach that you're exploring. Is this something that is in response to potentially either competitive factors, issues over market share just the current demand environment or is this completely separate, and it's just sort of a widening of the funnel and broadening sort of the target consumer base you're going after?
Jared Kaplan: It's separate. I mean, we're always looking at elasticity curves and have been looking at a number of things for the last couple quarters to get conviction on where we think. You can drive accelerated customer and revenue growth and the profit pool stays relatively flat. So that's a good thing for everyone plus with more products we can offer more products to these customers once they're in the ecosystem with us. So that's driving factor. I do think we alluded to like, who's coming back to the market and we see these lower proprietary scoring customers coming back to the market first, which is in line with what you see after a tax refund season. There are some pieces of what's happening macro economically, right, specifically as it relates to higher wages. And some of the government stimulus programs that may be here for a while. So making sure that we can be flexible and have a win-win where we're able to offer through the banks, lower price products and able to generate additional customer growth, I think is a good answer. And we would be doing that anyway, even without a pandemic, but it's all on the – in the realm of getting the best price to these customers and making sure we can build up the products we put them over time.
David Sharp: Got it. Great. Thank you.
Operator: Our next question comes from the line of Mayank Tandon with Needham & Company. Please proceed with your question.
Mayank Tandon: Thank you. Good evening. Jared, could you talk a little bit more about the impact of SalaryTap and the credit card product? Like what should we think in terms of timeline when it's going to start to maybe impact the model and just from a longer-term perspective, how does that scale over time just based on your sort of initial investment plans around that and what you're hearing in the market?
Jared Kaplan: Yes, we're both – both are going to be really interesting products for us. We believe they're in slightly different stages the SalaryTap piece where we think we've got the product market fit today. And we expect that to continue to scale over time. I think for both SalaryTap and the credit card, there's still immaterial to the overall receivables picture. I think we are hopeful that we can start breaking them out as separate products in 2022 as those continue to scale. On the credit card side, we're testing a number of different options in the marketplace to make sure we've got the right product market fit, and we're pretty confident on the use case by the customer, and that will continue here for the near future for sure, but we expect that to scale nicely in 2022 as well. So as it become bigger parts of the portfolio, we'll begin breaking them out and talking about them individually, but before we really step on the gas, there's still pieces of both that we are making sure are ready to go, so that when we do it, we can scale properly.
Mayank Tandon: Got it. That's helpful color. And then just as a quick follow up and sorry if you already gave this metric, but we look at the marketing cost for funded loan roles, both sequentially and year-over-year. How much of that was driven by higher advertising costs versus a mix shift towards that new versus a repeat borrowers?
Jared Kaplan: Yes. That was a good question. That was mainly driven by a mix shift. We saw the partner, the channel continue to take kind of be the first place where the demand returned. So the partner channel mix was in the high-60s this year versus in high-50s last year. So that's – and then that came from more of the organic channel. So that's really what drove the increase.
Mayank Tandon: Okay. Thanks so much.
Operator: Our next question comes from the line of Mike Grondahl with Northland Securities. Please proceed with your question.
Mike Grondahl: Hey, thank you guys. And good evening. Could you talk a little bit about the cadence of originations, over July, August, September, and then any comments on October origination activity?
Jared Kaplan: Yes. I mean, so I think in the quarter the origination growth kind of was steady kind of year-over-year in the – kind of 20% range year-over-year. And that's what we're kind of looking also, you saw that in October and that's kind of what we're projecting in the fourth quarter as well.
Mike Grondahl: Got it. Got it. And clearly you’re may can progress with SalaryTap and Credit Card. Is there a next product on the roadmap that we should be thinking about that you guys are working on? Like, what do you think number four, and number five might be?
Jared Kaplan: We've got some ideas on that. I'm not – it's a little premature to talk about them publicly. We did allude to this interesting phenomenon that we're seeing in the customer base, where they're using lots of different products to smooth cash flow, each of them with high friction costs. And so this opportunity to provide a above bundle suite to a customer and to dramatically reduce their friction cost is a very interesting strategy that we'll have more to talk about in the future. And you can imagine that additional products will be set up to serve that vision.
Mike Grondahl: Got it. Got it. Okay. And I guess, lastly, just anything to call out on the competitive environment, over the last 90 days; do you see any major swings?
Jared Kaplan: No, we haven't. We haven't seen any new entrance. It is interesting the turn up program, which is a pretty good barometer. We saw that the match rate ticked down a little bit in the quarter. So it was just shy at 2% in the second quarter, and it was right around 1.5% for the third quarter. So we saw a drop off a little bit, which may suggest that some of the near prime folks who have come into the market when the pandemic was still full Blair have been pulling out a little bit, but nothing material.
Mike Grondahl: Got it. Okay. Thank you.
Operator: Our next question comes from the line of Chris Donat with Piper Sandler. Please proceed with your question.
Chris Donat: Hey, good afternoon, gentlemen. I know you're not going to comment much on 2022, but just on the kind of follow up on the question about the rollout of SalaryTap and card. And I think I know what your answer's going to be, but should we expect any material impact on yield in 2022 or are they likely to be still pretty darn small in 2022?
Jared Kaplan: No. So we do expect them to – we do expect to scale those businesses in 2022. So the overall portfolio yield will kind of come down based on the mix of those products, but we will kind of expect that the volume to be kind of material to offset that.
Chris Donat: Okay. I guess I'm partly asking and, so if we see an impact in the future we'll probably – you'll be able, you'll parse it out for us so that we – we know that change in mix rather than something else going on?
Jared Kaplan: Yes. We will explain kind of what the drivers of the yield change are and just be very clear on kind of how much of that is mixed versus how much of that is other factors.
Chris Donat: Okay. And then just the improvement in your new customer originations in the quarter, are we getting sort of back to normal with that, or like normal being sort of pre-pandemic, or I'm just trying to put this in context your new customer originations as part of the mix.
Jared Kaplan: Yes. It’s definitely headed back to normal. And I think the mix of those customers did look like what you would see after a typical tax refund season. And we pick up the pandemic as being like a big tax refund season. So, we would expect that pattern to continue as the macro economy renormalizes here.
Chris Donat: Okay. And then just thinking a couple quarters ahead, because we had sort of a funky tax season timing wise during the pandemic and then there’s some, I think normal seasonality in consumer credit’s been a little disrupted, just anything you’re thinking about in terms of seasonal fluctuations that we should be aware of as we think of the fourth quarter and first quarter or should we just focus really on your 2021 guidance for the fourth quarter and that kind of, that hits the highlights?
Jared Kaplan: Yes, I think that’s, it hits highlight. We’re not – projecting anything atypical into the future. We would expect a much more normal seasonality cadence next year.
Chris Donat: Okay. Thanks very much. Appreciate it.
Operator: Our next question comes from the line of Chris Brendler with D.A. Davidson. Please proceed with your question.
Chris Brendler: Hi, thanks and afternoon guys. Good to hear from you again, congrats on the results. I wanted to start with credit quality. Just any sort of like color commentary on what you’re seeing. I feel like the demand environment is still somewhat reduced, but we’re sure getting back to that 35% to 40% charge-off rate. Yes, I was just wondering if you sort of how the forward markers are looking as you hit into fourth quarter on credit.
Shiven Shah: Yes. I mean, we had guided in the second quarter of that, we expected charge offs to renormalize it back to, kind of pre-pandemic levels as, stimulus programs kind of weighing. So, going into the fourth quarter, we expect that to happen that fourth quarter typically is also a seasonally higher charge-off a month based on the seasoning of the vintages normally. So that’s baked into that 35% to 40% kind of projections and kind historically like 2019, sorry, I mean historically 2019, the charge-off rate is the percentage of average receivables with 42%. So that’s kind of more normalized level.
Chris Brendler: Got it. Okay, great. And this increasing automation new point to, it’s been a regular disclosure obviously, but it’s nice to see that improving. Where does that show up in as material, I guess, as you increase that, is there material reduction in cost?
Jared Kaplan: So that comes in customer operations expenses. So you get, normally you’d expect customer operations expenses without any automation to grow in line with origination growth. And what we have seen is that customer operation growth has grown half of origination growth. And that’s where that kind of comes into play. And we also mentioned, I mentioned on the script that, we haven’t added any customer head customer center headcount during the growth this year.
Chris Brendler: Great. Okay. The fair value receivables are the OppLoan the accrual accounting is the new products, is that right?
Jared Kaplan: Yes. So on the OppLoan product we are on fair value accounting and on the other two products, we are continuing to reserve under the old methodology.
Chris Brendler: Okay. So it’s a good way of tracking the progress there is to watch that look. Great. Let’s see. I think I had one more, I was going to ask any receivables, pretty close to our number. What are you seeing in terms of like the return or the pay downs or early pay downs is that start to improve yet?
Jared Kaplan: Yes, I mean, so the repayment rate is starting to kind of also kind of get back to normalized levels. They were elevated during the kind stimulus period. And those are kind of returning back and which is kind of corresponding to what you see on the charge-off as well.
Chris Brendler: Okay. I apologize this last, before I’m going to ask anyway just given like where we’ve come from a demand perspective and heading into the holiday season, I don’t think this business has typically been seasonal. It’s like more for like, auto repairs and stuff like that. So, we shouldn’t expect like a holiday ramp. It’s more steady on a seasonal, a quarter-by-quarter basis.
Shiven Shah: The fourth quarter is typically a very, a robust quarter for demand during the holiday season, partly due to spending on the family, but also because cash is fungible. So if you spend it elsewhere and then, you don’t have the money for the holiday season, you may use the product to do that. Typically between Thanksgiving and Christmas is a pretty busy time period. So we would expect that again this year.
Chris Brendler: Thanks guys. Appreciate it.
Jared Kaplan: Thanks, Chris.
Operator: That is all the time we have for questions. I’d like to turn the call back to management for closing remarks.
Jared Kaplan: Thank you so much to everyone that has joined us today. We look forward to continuing to make progress on this story. This platform for the everyday consumer, lots of good things in the future. Talk to you soon,
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.